Operator: Ladies and gentlemen, thank you for standing by. Welcome to Elanco Animal Health's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I will now hand the call over to Tiffany Kanaga, Vice President of Investor Relations and ESG. You may begin the conference.
Tiffany Kanaga: Good morning. Thank you for joining us for Elanco Animal Health's Third Quarter 2025 Earnings Call. I'm Tiffany Kanaga, Vice President of Investor Relations and ESG. Joining me on today's call are Jeff Simmons, our President and Chief Executive Officer; Bob VanHimbergen, our Chief Financial Officer; and Beth Haney from Investor Relations. The slides referenced during this call are available on the Investor Relations section of elanco.com. Today's discussion will include forward-looking statements. These statements are based on our current assumptions and expectations and are subject to risks and uncertainties that could cause actual results to differ materially from our forecast. For more information, see the risk factors discussed in today's earnings press release as well as in our latest Form 10-K and 10-Q filed with the SEC. We do not undertake any duty to update any forward-looking statements. Our remarks today will focus on our non-GAAP financial measures. Reconciliations of these non-GAAP measures are included in the appendix of today's slides and in the earnings press release. References to organic performance exclude the estimated impact of the aqua business which was divested July 9, 2024, and certain royalty and milestone rights that were sold to a third party in May [Technical Difficulty]. After our prepared remarks, we will be happy to take your questions. I will now turn the call over to Jeff.
Jeffrey Simmons: Thanks, Tiffany. Good morning, everyone. Elanco's strong third quarter results build on our consistent priorities of growth, innovation and cash. As highlighted on Slide 4, Elanco continues to deliver, growing 9% organic constant currency in the quarter and outperforming the high end of our guidance for revenue, adjusted EBITDA and adjusted EPS. Growth was led by U.S. Farm up 20% and U.S. pet health up 9%. This marks 9 consecutive quarters of underlying total growth and our highest quality of growth in the 9 quarters. Innovation continues to exceed expectations, achieving $655 million in year-to-date revenue. We are further raising our full year expectations by an additional $100 million at the midpoint to $840 million to $880 million. The consistent outperformance reflects broad-based momentum from our diverse basket of innovation across geographies, species, and products large and small. The portfolio benefits of our newer products are also driving more stability in our base business. Our strong focus on cash and operational execution improved our net leverage ratio faster than planned to 3.7x at quarter-end. We now expect to end the year at 3.7x to 3.8x. Additionally, we refinanced our $2.1 billion Term Loan B facility, extending the maturities through 2032. We expect our balance sheet to be in a strong position as we exit 2025. On tariffs, our intervention actions, FX tailwinds and year-to-date execution are mitigating potential impacts and risks. We continue to expect a 2025 net impact of $10 million to $14 million and believe any likely tariff risk scenarios are covered in our 2025 guidance. With our consistent outperformance, we are well positioned to raise our top and bottom-line outlook. For the full year, we now expect organic constant currency growth of 6% to 6.5%, adjusted EBITDA of $880 million to $900 million and adjusted EPS of $0.91 to $0.94. This guidance raise considers the dynamic macro environment and our confidence in the underlying momentum, agility and strength of our business. We are turning strategy into results providing a long runway for shareholder value creation. Looking at the third quarter revenue performance on Slide 5, we break down the 9% underlying organic constant currency revenue growth. This chart demonstrates strength across our global business with all 4 quadrants growing nicely. U.S. pet health had another solid quarter, up 9%. We saw growth in the vet clinic driven by Credelio Quattro and Zenrelia and also at retail through our OTC parasiticides. It is clear that our innovation insulates us from vet visit volume declines and benefits the broader portfolio with Galliprant and vaccines also showing growth in the quarter. Moving to international pet health. We achieved 8% organic constant currency revenue growth, driven by Zenrelia, Credelio and AdTab. We are very pleased with the early results for the Zenrelia's launch in the EU and Great Britain, following our success in Brazil, Japan and Canada. We expect geographic expansion to be a tailwind for our basket of innovation in the coming quarters and years. U.S. Farm Animal delivered an outstanding quarter, up 20% on top of 11% in Q3 of 2024, bolstering our market leadership. Cattle led the way with strong growth for Experior and Pradalex, poultry vaccines also contributed to the quarter. Finally, international farm animal was up 5% in organic constant currency with growth coming from poultry and ruminants. As expected, the quarter was modestly impacted by some pretariff buying shifting to Q2 from Q3 to satisfy customer demand, primarily in China. Overall, we're encouraged by the performance of the business, supported by strong animal protein markets. Looking at Slide 6. We delivered $655 million of innovation revenue year-to-date with outperformance across a diverse basket, led by Credelio Quattro, Experior, AdTab and Zenrelia. We are again raising our innovation guidance for 2025 by $100 million at the midpoint of the range to $840 million to $880 million. This target reflects several large margin-accretive products, and they are gaining traction in the marketplace with our no-regrets launch approach. Let's further discuss the progress of our major innovation products on Slide 7, starting with Credelio Quattro. In early September, Quattro became Elanco's fastest pet health blockbuster in history and one of the industry's fastest ever, reaching blockbuster status of $100 million in net sales in less than 8 months. This is especially notable with a single geographic approval. We're seeing incredibly strong demand for the all-in-one products from both pet owners and veterinarians pushing the U.S. broad spectrum endecto market to $1.4 billion today with growth at almost 40%. We believe Quattro is best medicine and its fastest-growing animal health market, and our product is not only expanding the market even further, but we're also gaining share ahead of expectations. These gains grew from the second quarter, both into and out of the clinic. Our strategic DTC investments, our expanded sales team and distribution partners are all driving the success of this launch, as veterinarians and pet owners clearly appreciate Quattro's 3 dimensions of differentiation. First, Quattro has broad coverage. This includes multiple species of tapeworms. And following a recent label update also includes protection against the black-legged and longhorn ticks for prevention of Lyme disease. Second, Quattro kills ticks twice as fast as the competition as detailed in a published head-to-head study. And third, Quattro has heartworm coverage from month 1. We've also received positive feedback from vets and pet owners praising its great palatability. Introduction of Quattro has bolstered our broader Elanco portfolio in clinics as we now offer veterinarians a complete ecto, endo, and endecto portfolio with a variety of parasiticide coverage at a variety of price points to meet veterinarian and pet owner needs. This more complete portfolio is especially enhancing our offering for corporates where we've historically under-indexed. Cannibalization has been limited as approximately 70% of Quattro share capture has come from the competitive product switches, new starts or repeat patients. Our product ranks highest on Kynetec Puppy Index versus other broad spectrum endectos. This is supported by our puppy program and DTC investments, but mostly by the differentiated product profile and performance. Looking ahead, we are excited about Quattro's international rollout with launches expected to start in 2026. Next, on Zenrelia. We are seeing strong momentum and positive developments on several fronts as we make further inroads into the $2 billion global dermatology market that is consistently growing at a double-digit rate. We estimate our market share at approximately 5% in the countries where we have launched. Zenrelia posted its best quarter since launch. As we move through peak allergy season sales accelerated nicely, nearly doubling globally compared to the second quarter. Over 12,000 U.S. clinics are buying the product, up from 10,000 in August, and the reorder rate also continues to climb now over 80%. We have continued to achieve growth ahead of our expectations with more first-line treatment use and willingness to use, a reflection of Zenrelia's efficacy, convenience and value. We are also expanding the market with approximately 18% of Zenrelia patients being new to therapy. Zenrelia's momentum in the U.S. was particularly strong at the end of the quarter with a label update in September. Upon evaluation of submitted data, the FDA concluded that the totality of evidence supports removal of vaccine-induced disease language, which has been subsequently removed from the Zenrelia label in the U.S. This development has sparked new interest among veterinarians and increased pet owner acceptance. Also, Elanco has recently submitted additional new data to the FDA Center for Veterinary Medicine seeking to further update the Zenrelia label in the U.S. This data, peer-reviewed and published, evaluated Zenrelia's impact on dogs' immune response to common booster vaccinations. Our aim is to amend the vaccine warning to make the U.S. label more consistent with the other major geographies where it's already approved. Overall, we believe this data combined with 13 months of positive use in the U.S., along with 35 country approvals, all with nonrestrictive labels support further positive change to the U.S. Zenrelia label. In the $700 million derm market outside the U.S. Zenrelia continues its good progress, launching in the European Union, Great Britain and now Australia. You remember, we completed a head-to-head study in Europe versus the marketplace incumbent as part of the EU approval process. We are encouraged by the early results in these geographies, reflecting the head-to-head data and overall strong efficacy of Zenrelia. The newest launches follow success in Brazil, Canada and Japan. Notably, Zenrelia has double-digit percent market share in these markets, supporting our long-term belief in the product with a clean label. We believe the consistent key driver to Zenrelia's increased momentum is product testimonials on its differentiated efficacy profile. Now our OTC parasiticide product AdTab. In Europe, it continues to achieve good growth with sales up more than 25%. AdTab's robust trajectory is fueled by the April approval and launch in the U.K. and supported by data-driven strategic DTC investments. AdTab is now the market leader in the European ISOC OTC market and the only product in the space that can be used in both dogs and cats. Finally, on CPMA, our treatment for the deadly canine parvovirus we do expect growth to remain tempered in the near term. We are working to expand access to shelter promotions. Moving to farm animal. Experior continues to grow rapidly, up 70% in Q3 on top of more than 100% growth in Q3 of 2024. We continue to benefit from the historically small U.S. cattle herd size, which reached the lowest midyear count in more than 50 years of record keeping. This dynamic is driving stronger producer economics and sticky demand with Experior's customer retention rate remaining over 90%. Looking ahead, Experior does face stronger comparisons as it laps the combination clearance for heifers. However, there are early positive signs of herd rebuilding, representing a multiyear tailwind. We see significant runway for this blockbuster and the benefits of its portfolio synergies and an estimated potential market of over $350 million in the U.S. and Canada, with also geo expansion as another expected tailwind over the longer term. Lastly, regarding Bovaer, the product continues to grow, but at a more measured pace than initially projected. We see consistent demand from CPG brands, which supports sustained interest and consistent cow numbers. As we've seen with other innovative farm animal products, the adoption curve can take time. However, our experience shows that once these products are integrated and their value realized, they become sticky, providing significant and lasting benefits to farmers. Overall, we continue to see substantial value in Bovaer for both our CPG partners and the producers we serve. Moving to Slide 8. We offer some recent highlights across the 3 parts of our IPP strategy, Innovation, Portfolio and Productivity. First, on Innovation. Ellen and her team have refilled the pipeline and are progressing our next wave of blockbuster products. She's created an organizational capability to generate a consistent flow of high-impact innovation. More near term, IL-31 remains on track for commercialization in the first half of 2026. We are in the final stages of the USDA dossier review. Given our data submissions and constructive conversations with the USDA, we're cautiously optimistic that the product will be approved in the fourth quarter. However, the lack of ADUFA time lines and the government shutdown introduced some potential for variability beyond our control. Our commercialization time line can absorb a modest potential delay from the shutdown and perhaps, most importantly, this year's progress and growth innovation and cash has clearly demonstrated that our results are driven by our total portfolio. As our diverse portfolio of innovation scales, it also stabilizes our base business, driving overall industry-leading growth. Our U.S. Farm Animal business is consolidating its leadership, having achieved 11% growth on a trailing 12-month basis, led by beef cattle. At the same time, our life cycle management efforts continue to strengthen our portfolio. For example, Credelio recently became the first ever FDA product to receive emergency use exemption for treatment of New World screwworm in dogs. Price is also an important portfolio growth enabler. We have achieved 2% price growth year-to-date, and we continue to expect the full year to also be up 2%. While pricing was flat in the third quarter, this performance aligned with our expectations, representing fluctuation in customer and product mix. Remember that our newest launches like Quattro are not reflected in price. Our strategy continues to align price with customer value. Finally, on productivity, we continue to rapidly pay down debt and strengthen our balance sheet. We now expect to improve our net leverage ratio by 2 turns in just 2 years with the under 3x milestone in sight in 2027, especially as our company-wide margin enhancing initiative, Elanco Ascend, drives meaningful efficiencies beginning next year. Our recent debt refinancing further strengthens our balance sheet with an improved capital structure that both extends our maturities and lowers our cost of debt. We expect our net leverage ratio to benefit on multiple fronts ahead growing EBITDA and debt paydown. And on the manufacturing front, we remain on track for a strategic expansion of our facilities in Fort Dodge, Iowa and Elwood, Kansas with the latter supporting our MAB platform for IL-31 and beyond. With that, I'll pass it to Bob to review our third quarter results and financial guidance.
Robert VanHimbergen: Thank you, Jeff, and good morning, everyone. I will focus my comments on adjusted measures, so please refer to today's earnings press release for a detailed description of the year-over-year changes in reported results. Starting on Slide 10, we delivered $1.137 billion of revenue, representing an increase of 10% on a reported basis. Organic constant currency growth was 9%, primarily driven by an increase in volume. As anticipated and as Jeff noted, price was flat in the quarter. On Slide 11, you'll see revenue by the 4 quadrants of our business. Globally, pet health revenue increased 8% in constant currency in the third quarter. In the U.S., pet health delivered 9% growth, driven by demand for our key innovation products, Credelio Quattro and Zenrelia. Outside the U.S, our pet health business grew 8% in constant currency, with growth led by Zenrelia. Moving to farm animal. Our global business achieved 10% organic constant currency growth. The U.S. farm animal business grew 20%, driven by the strength of Experior and poultry vaccines. Outside the U.S., the farm animal business contributed 5% growth in organic constant currency, driven by cattle in Europe and poultry in both the LatAm and APAC regions. Continuing down the income statement on Slide 12, gross margin increased 90 basis points to 53.1% primarily driven by productivity from increased volume. Our operating expenses grew by 7% year-over-year, largely driven by strategic investments in the global pet health product launches. The increase was slightly below our 8% target as some expenses will shift to the fourth quarter. Interest expense totaled $34 million representing a $12 million reduction from the same period last year. This decrease reflects our continued progress in deleveraging. On Slide 13, we provide walks to illustrate our year-over-year performance and adjusted EBITDA and adjusted EPS. Adjusted EBITDA was $198 million, an increase of $35 million. Adjusted EPS was $0.19 in the quarter, an increase of $0.06 year-over-year. On Slide 14, we provide an update on our cash, debt and working capital. Cash generated from operations was $219 million in the quarter compared to $162 million in the same quarter last year. We ended the quarter with net debt of approximately $3.3 billion and a net leverage ratio of 3.7x, better than expectations. Now moving to Slide 15. We have communicated a consistent capital allocation strategy with debt paydown as a primary use of free cash flow. We are pleased with the progress we have made on deleveraging this year, having already exceeded our 2025 debt paydown target with gross debt paydown of $562 million. We expect to end the year with net leverage between 3.7x and 3.8x. Longer term, we aim to be under 3x levered and anticipate capital allocation flexibility below that level. On Slide 16, we provide an update on our debt capital structure. On October 31, we successfully refinanced our $2.1 billion Term Loan B facility into 3 new debt facilities. Importantly, this refinancing activity improves our debt portfolio's maturity risk profile by extending the 2027 maturity to 2029 and 2032 and reduces our cost of debt. Looking ahead to 2026, we forecast interest expense to increase by approximately $15 million year-over-year. The projected increase is due to the expiration of a favorable interest rate swap amortization benefit in the third quarter of 2025, which originated from a 2022 interest rate swap restructuring. The increase is inclusive of the interest savings secured through our recent debt refinancing transaction. Now let's move to our guidance, starting on Slide 18. We have consistently delivered on our commitments this year. And this momentum gives us confidence to once again raise our full year expectations. We now expect to deliver organic constant currency revenue growth of between 6% and 6.5% versus our previous outlook of 5% to 6%. We are increasing our expected reported revenue range to be between $4.645 billion and $4.67 billion inclusive of an expected $30 million tailwind from foreign exchange rates since our August earnings call. Slide 19 provides year-over-year bridges for 2025 adjusted EBITDA and adjusted EPS. And Slide 28 in the appendix provides a number of additional assumptions to help support your modeling efforts. We are also raising adjusted EBITDA guidance by $20 million at the midpoint of the range. The increase reflects our $28 million outperformance in Q3, partly offset by $10 million of increased investments in our recent launches and $5 million in shifted timing. We're also passing through the $15 million in FX tailwinds for adjusted EBITDA that was previously held back with macroeconomic uncertainty, half of which benefited the third quarter results, with the remaining expected to benefit the fourth quarter. For adjusted EPS, we are raising our guidance by $0.05 at the midpoint, bringing the new range to $0.91 to $0.94. On Slide 20, we continue to expect net impact of $10 million to $14 million on adjusted EBITDA in 2025 due to previously announced tariffs. This estimate is included in our guidance and considers our multiple mitigation strategies. For 2026, we will continue with our prudent and balanced approach to guidance and proactive interventions as we navigate potential changes in tariff exposure. Our fourth quarter guidance presented on Slide 21 includes organic constant currency revenue growth of 4% to 6%. On a reported basis, we expect $1.085 billion to $1.11 billion in revenue. The year-over-year increase in operating expenses is expected to be approximately 10% in constant currency, including the incremental DTC investment and a shift in timing of some expenses. As a result, we anticipate adjusted EBITDA of $168 million to $188 million and adjusted EPS of $0.09 to $0.12. Finally, as usual for this time of the year, we provide some preliminary context on our expectations for 2026 on Slide 22. We see a clear path for sustainable competitive revenue growth through our diverse portfolio of innovation, continuing to scale globally on top of a stabilizing base. This innovation helps to insulate us from macro headwinds like declines in U.S. vet visit volumes. Price should also contribute to our revenue growth. In pet health, while we recognize pressures for competitive launches, we believe we are well positioned to gain incremental share, both in the U.S., where our corporate offering benefits from our more complete portfolio and globally as we launch our innovation in new markets. We also expect to build on our OTC pet health retail leadership. On the farm animal side, while we are facing difficult comparisons, especially in the U.S., there remains a runway for continued solid growth, driven by our new products in cattle and favorable producer economics. We expect to bolster our leadership in cattle and poultry. We continue to expect EBITDA margin expansion beginning in 2026, led by general and administrative cost savings and manufacturing efficiencies under the Elanco Ascend program. This is a company-wide initiative that we anticipate will drive additional productivity and capabilities in key areas, as we're looking beyond the margin benefits, we can actually capture through better mix, consistent growth and moving past heavier launch investments in 2025. There's more we can do in digital, automation and AI to leverage those capabilities across the organization. Procurement is working to identify opportunities with suppliers to help offset inflation. Tariffs remain a headwind and a risk but have been manageable to date with our strong execution and proactive mitigation plans. Lastly, as I shared earlier, we expect a step up in interest expense in 2026 of approximately $15 million. From a cash perspective, we expect accelerating free cash flow to fuel additional debt paydown with net leverage improving towards our goal of under 3x. Now I'll hand it back to Jeff for closing comments.
Jeffrey Simmons: Thanks, Bob. Elanco knows our charge, consistent, reliable delivery to our customers and shareholders. and I'd like to thank our teams for the disciplined execution and the delivery this quarter. Employee engagement is at a high in Elanco, which I believe is a strong leading indicator, demonstrating confidence in our future. We know the hard work continues in this competitive fast-growing animal health industry and we are committed to continue to deliver for our customers. I see a durable path forward. our IPP strategy is driving results, positioning us well to raise our 2025 guidance even in a dynamic global backdrop. Elanco is clearly in a new era of growth and innovation, with significant opportunity for continued shareholder value creation. We look forward to sharing more on our strategy, our financial outlook and our innovation pipeline at our December 9 Investor Day. With that, I'll turn it over to Tiffany to moderate the Q&A.
Tiffany Kanaga: Thanks, Jeff. We'd like to take questions from as many callers as possible. [Operator Instructions] Operator, please provide the instructions for the Q&A session, and then we'll take the first caller.
Operator: [Operator Instructions] Our first question comes from the line of Umer Raffat from Evercore.
Umer Raffat: Congrats on the quarter. I wanted to clarify something, Jeff, you mentioned, unless I heard it wrong, did you say Quattro did $100 million in 3Q? And if so, what does that mean for innovation basket ex Quattro on a year-over-year basis? And then secondly, to the extent Quattro is annualizing in that $300 million to $400 million range right now, what do you see as a realistic peak sales potential? I guess, thinking out loud, why can or can't it be $1 billion at peak?
Jeffrey Simmons: Thanks, Umer. I appreciate the question. Yes, let me clarify. We announced in September that it had reached $100 million in the year up till September. So it wasn't in the third quarter. Let me clarify that. But let me put a little color though, to the question. There's no question, we believe that this is our fastest blockbuster to date. It's only in one country and to reach that in 8 months. I think it shows a lot about the value of the differentiation of the product. A little bit more color just on the product itself. I think the differentiation is playing out in the field as well as we're not only taking share, but the broad spectrum endecto market continues to grow. It's a $1.4 billion market Umer. It's growing at 40%. So we've got the rise of the market combined with the share that we're taking. And we're only in 1/3 of the clinics at this point in time. So we're adding business inside the clinics we have with a return rate of over 80% of reorder rate. And at the same time, we're seeing really positive indicators. And the one I'd point to is actually the Kynetec data on the puppy index. I mean, today, we've got the highest puppy share overall. And when you look at that, that means that puppies are a higher percentage of our total Quattro patients compared to any competition. And this is a lead indicator of the vets confidence in this product and that this product, I've said, has been best medicine. I now believe it has the potential. And in my eyes, it is the best-in-class product and the fastest-growing animal health market. So it's set up well. There's a lot more room to grow. We'll be globalizing this product with international approvals next year. And we see really, really nice upward opportunity.
Operator: Our next question comes from the line of Jon Block from Stifel.
Jonathan Block: Jeff, I'm going to start with maybe just asking for a little bit more color on the U.S. Zenrelia, call it, like cleaner label aspirations and maybe the timing behind that initiative? I know you took a step forward. You mentioned the share gains accelerating exiting 3Q. But I mean, obviously, removing the box warning would be a big step forward. And I'm asking because you also referenced, I believe, the higher share gains in the international markets for Zenrelia despite being there for a shorter period of time. So I would love any color on what needs to get done and then maybe the timing behind that? And then I'll ask a follow-up.
Jeffrey Simmons: Yes, Jon. I'll point to the 3 markets that we introduced this product into first outside of the U.S., Japan, Canada and Brazil, I highlight kind of new data here showing that we're a double-digit market share in those markets. In my 36 years in animal health, I've never seen a product with the efficacy profile and the testimonials that we've seen over the last year with Zenrelia. We have something here that you know this market is growing double digit. It is an unsatisfied market, and we've got a product that we think is clearly differentiated. So with -- and it's off to a good start in Europe as well. So yes, we have a multipronged approach on the label. The first one was the PCR data, that allowed us to remove the fatally induced disease off the label. And then this last quarter, we have submitted another package of data, peer-reviewed published data all around the booster side, and we do believe that combining that data will hopefully satisfy the FDA's need to be able to see this as well as 13 months of use in the U.S., over 0.5 million dogs. All of this, I believe, will further support a label that could be updated to look more like the international markets. I will say, though, that label change did in September and October, you can see we're adding close to 2,000 clinics a quarter but the actual use monthly sales per clinic has grown here in the U.S., nearly 50% since Q1. So our base is becoming more loyal. We're moving to more first-line treatment. And I think that's all coming back from the testimonies on efficacy. So more to come, the regulatory strategy is working, big milestone with this other data submission that we made here in this last quarter. Your follow-up, Jon?
Jonathan Block: Yes. No, that was great color. And then maybe for the follow-up, and Bob, this might be for you. But the 2025 EBITDA guidance, the midpoint is now $890 million, it's up from the initial. I think I got this right, of $850 million. But importantly, that's with a good amount of incremental OpEx investments all throughout 2025 along the way. So I'm curious where you guys are with those incremental OpEx investments. How do we think about that going into '26? In other words, does that continue to occur? Because maybe this is just a moving target. In other words, as you continue to see favorable returns do you just sort of keep your foot on the gas. So just maybe asking for some context in that regard.
Robert VanHimbergen: Sure. Yes, Jon, thanks for the question. Yes. So you're absolutely right. Our previous guidance had a range on EBITDA of $850 million to $890 million. And so we did range -- or did provide an updated range of $880 million to $900 million. So we did raise the guide at the midpoint, fueled by the $28 million beat in Q3. And again, I want to highlight it was in my prepared remarks, but that did include $8 million of foreign exchange with the other $7 million of FX coming in Q4. But then the 2 offsets, one is $10 million of incremental OpEx. And it's continuing down this no-regrets approach to launches. We've been extremely pleased with the innovation basket, raising that bar by another $100 million. And we're going to continue to use a data-driven approach with DTC and continue to drive that top line. And I have the opportunity to meet with the team again here recently and the data suggesting our marketing is working, and we're seeing that top line growth. So as I think about 2026, Jon, listen, we're still going to use data to drive the right behaviors and again, continue that no regrets approach. But with that being said, I do -- we do see 2026 to show top line growth, EBITDA growth and EPS growing and it's because of the strong market fundamentals we have, and our products are performing extremely well.
Operator: Our next question comes from the line of Andrea Alfonso from UBS.
Andrea Zayco Narvaez Alfonso: Congrats on a nice quarter. Just a quick question on the slide outlining the early considerations for '26. We did notice that there was a call out on consumer macro pressure and U.S. debt visit declines. It seems to be a bit of a newer call out versus when you outlined considerations for 2025 a year ago. So just curious if anything has changed structurally in 3Q versus 2Q, thoughts on the makeup of the non-wellness visits and whether there's been some consumer reticence around the use of therapies. And it also does seem that third-party data is showing some improvement, at least on the non-wellness side. So curious if that mirrors exactly what you're seeing thus far.
Robert VanHimbergen: Yes. Maybe I can answer a few of those questions. Andrea, and I'll let Jeff pipe in. But really, nothing's changed quarter-over-quarter with our considerations. We are taking a grounded and disciplined approach to guidance, and so we'll be consistent in how we guide. And so just being consistent with prior years, we're showing early considerations. And obviously, competition is something that we have our eyes on and feel very good about where we are for 2025, but we're taking a balanced approach. And obviously reflecting on not only competition, but the macro environment as we think about next year.
Jeffrey Simmons: And let me pick up, Andrea, I think it's important to just give our lens on vet visits. They're important. They are stabilizing. But I want to let you -- let me explain a little bit of, we believe, through our lens, vet visits are maybe a little bit over-indexed. And so -- and we are, we believe, insulated from them even more so going forward. And let me just explain. I think it's the strength of the markets that we play in and the strength of our strategy. First, we're in strong growing markets. I think these are very important points. We're in strong growing markets, endecto is up 40%, derm is up 13%. Second, we've got differentiated innovation, best medicine in these. So we're taking share with Zenrelia, Credelio Quattro and IL-31 is coming. I think the third is just this whole 4 dimensions of our portfolio. We're one of only 2 companies that can bring that. And we're seeing proof points this quarter with both pain and vaccines actually growing. And lastly, as we rolled in Bovaer, we've been talking about omnichannel, the omnichannel strategy is working. We've got the largest vet sales team we've ever had. We've got significant media with good data, as Bob just mentioned. We've got very unique distribution agreements today that I think give us competitive advantage. And lastly, we are the #1 pet retail company. So Elanco is meeting more pet owners where they want to shop at more price points than any other animal health company. And I think that sets us up very nicely to say we don't really see vet visits and even some of the consumer trend. We're entering this time as durable and as competitive as any animal health company. And again, I see that in a really balanced positive way, not just in '25, but definitely going into 2026.
Operator: Our next question comes from the line of Michael Ryskin from Bank of America.
Michael Ryskin: Great. Congrats on the quarter and the update. I want to go back to something I think that Jon touched on in an earlier question on the margins and just sort of the investments needed to sustain it, especially around the innovation component. I think you've seen really good traction with Credelio Quattro, obviously, so far, Zenrelia seems like it's accelerating very, very nicely. As we think about going into year 2 and year 3 of these, very competitive markets, you're going to see more competitive entrants from Merck [indiscernible]. You're going to see possibly Bravecto have something coming up. So competition is only going to ramp up. Can you talk about how you think about that no regrets approach to supporting them going forward? How should we think about incremental margins as these ramp and become over $100 million, over several hundred-million-dollar products? What should that ramp look like in year 2, year 3, year 4 launch? Because this should become meaningfully margin accretive. I'm just trying to think through the timing of that relative to the investment needed to support them.
Jeffrey Simmons: Yes, Michael, let me just share a few comments here relative to this and then I'll maybe have Bob share a little bit from an investment perspective. But yes, the no regrets approach, we've been working on this for multiple years and preparing the capability, hiring the expertise from around the industry, making sure we've got good lead indicator data for the legs in the industry, and now we're globalizing faster than we ever have. So I start with the differentiation is significant. And even as we start to enter a derm market in Europe that's very competitive, the early signs are that we've got a differentiated product. We've got launch capabilities that are, we think, close to best in industry and all of that's going to allow us to say, "Hey, we globalize the innovation. We really, really doubled down on showing the differentiation. We are in growing markets." I think that's the other thing. As you look at derm continues to expand, as we pointed to, just we've got 18% of Zenrelia use coming from first-time users. So we are making these markets bigger, and we will continue to lean in. Today, we are seeing every dollar of investment give us significant returns. So -- and we are expanding, and we'll continue to structure our organizations to have as much share of voice as possible, first with our team, second with distribution, third with omnichannel. So all of that put together, I think we're in as strong of a competitive position, as I've seen as a company and our portfolio were not a company dependent on one product. We've got a portfolio of products. And our para, I'll point out portfolio is probably as strong as any in and outside of the vet clinic as well. So maybe, Bob, just from an investment philosophy perspective and the data we're looking at.
Robert VanHimbergen: Yes. So thanks, Jeff. So listen, I would highlight that this basket of innovation already has margins above our corporate gross margins, all right? So that's the reason we continue to lean in. And again, using data to support the effectiveness of our DTC. But as I think maybe just holistically about margins, we're going to continue to see growth. And so by leveraging our existing cost base, we're going to see natural margins come through just the volume as well as the natural mix. And then I want to again rehighlight what we talked about last quarter is launching Elanco Ascend. And that's going to help us go beyond just the natural mix benefits of the innovation as well as the volumes. But really helping us be proactive in accelerating efficiencies across the organization, and that's going to be not only within our 4 walls and manufacturing facilities. It's going to include G&A, but also our procurement team is doing a fantastic job already leaning in and finding cost savings across the organization. So with that being said, like listen on Investor Day here in a month, really looking forward to sharing more about the direction of the company and sharing a lot more on Elanco Ascend.
Michael Ryskin: All right. And can I squeeze in a quick follow-up. Really strong growth in livestock, not just this quarter in farm animal, but a couple of quarters in a row. You've also seen really strong results from Zoetis, from Phibro, Merck on this. Like longer term, we think of livestock as a low to mid-single-digit market. It seems like '25 is a particularly good year for everybody. Could you just give us an update on sort of what's driving that? How sustainable that is? Is this a 1-year cyclical event? Or is this a multiyear event? Just how do broad start I think about livestock in '26 and '27, maybe?
Jeffrey Simmons: Yes, Michael, I think as you and I've talked in the past, it's probably one of the more underappreciated things about Elanco and even our industry, farm animal is still bigger than pet health. It is a very global industry. I would just point to a few things on the industry and then on Elanco. We continue to see the demand for protein growing. I mean it has rebounded. I say lead indicators, the U.S. dairy industry is now well over $10 billion of investment just because of this trend of where things are, and we're looking for a new dietary guideline coming out here in the U.S. that I think is going to increase saturated fats, dairy and animal protein. So there is a resurgence. I was on the phone yesterday with one of the largest CEOs and he -- and they're seeing it globally, and they're expanding globally. So I think overall, that is part of it. And look, when it comes to whether it's [ biles ] and prevention of disease to food safety, to productivity, to a small cattle herd of 50 years in history, producers are making money, but producers are willing to spend because every pound of protein matters more today than ever it has. So I think that's important. And we point to ruminates, dairy and beef, and we point to poultry is where we think we can take competitive advantage. And our strategy has been clear, and we will have José Manuel de Simas and Ramiro, 2 of the best, I think, in the industry highlight this 4-pronged strategy. It's innovation, it's winning portfolios. It is value beyond product and that it is competitive kind of customer interface, that farm gate access and that strategy is playing out well. It isn't just about Experior. That's been a key driver. It's been about building winning portfolios, especially in ruminants and in poultry, and we'll share more about that on -- in December.
Operator: Our next question comes from the line of Erin Wright from Morgan Stanley.
Linda Bolduc: This is Linda Bolduc on for Erin Wright. So given some recent competitive launches in [indiscernible] and parasiticides, any thoughts on how it has evolved for the company in third quarter and into fourth quarter to date? Also, any thoughts on how much competition has been embedded in the latest guide? And will that amount ramp significantly in 2026?
Jeffrey Simmons: Yes. We have the competition in our guidance ranges for 2025, and we've got a good view on it for 2026. And specific to the para market, as I've highlighted, we've not seen any impact on competitive entries and especially the broad-spectrum endecto market that's grown 40%. We've really observed also no real material impact on new para competitors, even in the international markets. So I think in the lane that we are competing in, we see a very strong marketplace. And then again, our differentiated portfolio is allowing us to take share.
Linda Bolduc: That's great. And any additional color for the topics covered in the upcoming Investor Day in addition to Elanco Ascend?
Jeffrey Simmons: Yes. We have -- thank you for the question. We've actually reached out to our investors when -- and really, what we're planning to do is really the content will reflect the investor feedback. So we heard your desire to get more clarity, as Bob just highlighted on our growth trajectory. Also on the margin improvement and Elanco Ascend opportunity, you'll see aspects of our pipeline and also our leverage reduction plan. So we'll really double down on our IPP strategy. And most importantly to me is you'll be able to have a chance to meet and hear that directly from the executive team. So again, December 9 in New York City and looking forward to a real efficient high-value 3 hours between 9 and 12.
Operator: Our next question comes from the line of Daniel Clark from Leerink Partners.
Daniel Christopher Clark: I wanted to ask on the innovation sales, obviously, target up a fair amount once again here. Can you just help break out maybe what the drivers or main products of that guide increase were? And how should we think about growth of the innovation basket as we look ahead to next year?
Robert VanHimbergen: Yes. So thanks for the question. So again, we're really pleased with what we've seen already on the basket of innovation. We did raise the guide as $100 million, as Jeff has highlighted. I do want to highlight a bit on timing, right? So as you think about the first half of the year. We are more weighted just due to the seasonality of the business with parasiticides more weighted in the first half. And AdTab specifically in Europe is a first half-weighted product we have. But we think about this as a basket. Now, that being said, I'd tell you, in the year, we're seeing great progress with Experior, AdTab, Credelio and Zenrelia and more specifically in Q3. But as we think about moving forward, listen, we've got a lot of momentum going into 2026. We're in growing markets, and we're seeing share improve as well.
Operator: Our next question comes from the line of Chris Schott from JPMorgan.
Ekaterina Knyazkova: This is Ekaterina on for Chris. Congrats on the quarter. So first question is just on Zenrelia and any initial thoughts on the launch in Europe. Just how that's trending relative to your expectations? And any surprises as you kind of think about the competitive landscape and just level of promotional activity you're seeing? And then second question is just on Credelio Quattro. Do you have a sense of what percent of your volume is coming kind of from the vet clinic versus online? And how do you see that changing over the next several quarters? And any interesting trends you're seeing as you kind of look at both channels.
Jeffrey Simmons: Yes. Thank you. Yes, we have launched in Europe and Great Britain, and its still early days. But what I would say is we are ahead of our launch expectations. We're off to a very fast start. And I think the headline is the head-to-head non-inferiority study that we actually did compared to the incumbent is playing out in the marketplace. I mean, we're using that data with customers, and we're seeing that in the testimonials early on that this is a product that we believe, has really strong efficacy profile as well as the convenience and value overall. But that's the early days playing out. And as I said, the earlier markets, I would point to Japan, Brazil and Canada, we've seen us move now into double-digit market share. So -- and again, those trends are continuing. We'll keep you updated. Relative to Quattro, as I highlighted earlier, on Quattro, you've got a really growing market in the U.S. We've seen, as I just highlighted, a move to get to $100 million in less than 8 months in one country is the fastest blockbuster we've seen with a whole lot more runway. We're adding close to 2,000 clinics per quarter. And I would just say that when we look at the -- where it's coming from, we're getting about 75% of our growth from switches from competition, new starts and repeat patients, and I'll point again to that puppy index to really highlight that is a great lead indicator for us to say we've got a nice runway of growth. And then we will see this profile, we think, play very nicely in the international markets. Yes, we have Credelio Plus. But now when we put Quattro into these markets, we believe that international will be a nice move also for 2026 growth in para with Quattro as well.
Operator: Our next question comes from the line of Brandon Vazquez from William Blair.
Brandon Vazquez: I'll ask 2 upfront, a little bit related in terms of run rates into next year into 2026. So you were talking earlier about OpEx growth and no regrets kind of investment, which clearly has been coming to fruition within the sales growth. and even, frankly, within profitability growth. The question being, I think you said expectations are now for 10% OpEx growth for the year. As we go into 2026. Is there a tail on some of these investments? Or should we be basing around kind of a double-digit OpEx growth into next year as well? Basically asking, can you modulate those back? And then similarly, for '26 on the top line, the follow-up that I'll just ask now is you give a helpful slide on the tailwinds and the headwinds going into next year. I think encouragingly, this is the first year in a while that there's a lot more tailwinds than there are headwinds. So is it safe to assume that we should be modeling, I think like the Street has an acceleration of the business into 2026.
Jeffrey Simmons: Yes. So maybe I'll give you just a couple of points for consideration there. So the 10% is really for the quarter, not for the year. But again, we'll be focusing on data to drive decisions on investments. But -- the thing I would highlight again is the Elanco Ascend. We are going to be operationally excellent in G&A. And you could actually look at our 10-Q, you can see the effectiveness we've had on G&A, it's actually down year-over-year, but we've been leaning into R&D and DTC and marketing spend. And so I would expect that trend to continue and us continue to be operationally excellent with Ascend coming in. But again, on your point on 2026 tailwinds and headwinds, listen, we have a strong -- we're operating in a strong market. Our products are performing extremely well. We have momentum going into 2026. And so again, as we sit here today, we believe we're going to have top line growth, EBITDA growth and EPS growing.
Operator: Our next question comes from the line of Navann Ty from BNP Paribas.
Navann Ty Dietschi: Can you discuss the pricing and promotional strategy of Zenrelia and Quattro including the extent and the length of promotional activity? And then I have one on Bovaer. Is that status quo on governmental incentives? And can you discuss the progress on pivoting to productivity focus.
Jeffrey Simmons: Yes. Thank you, Navann. Yes, our -- in the U.S. with Zenrelia. We've highlighted that we've been -- we priced initially in the market. Things have changed a little bit, but at a 20% discount because of the label. What I would say is the value profile is growing, and we're excited about that. And over time, we will price to value. In Europe, we've not highlighted our detail there, but the label is different. The value profiles being seen very strongly, more details overall. And then really on both Zenrelia and Quattro, this increased investment, Bob was talking about -- it's a combination of multimedia. It's also including an increase in our sales force and sales force incentives as well as distribution. So it is a multipronged approach to have as competitive share of voice and really next-gen commercial in the field. So that will be -- continue to be our lean-in strategy even going forward. On Bovaer, yes, we highlighted coming into 2025 that we did not have the incentives. But what I would highlight is we've seen really good demand from the CPG companies, and we've really repositioned Bovaer to where Bovaer is helping the CPG brands, the major dairy brands that buy milk, they're utilizing Bovaer to really and paying for through our inset market and dairy producers are actually getting the benefit from that. We noted even back a few quarters ago, we had $10 million in the quarter really that was going from CPG companies into the dairy producers, and that will continue to be our strategy going forward.
Operator: Our last question comes from the line of Andrew Dusing from Cleveland Research.
Andrew Dusing: Just want to ask 2 quick, I'll ask them upfront. On pricing, I thought that was called out for a driver for '26, and I don't want to get too far ahead of the guide. But maybe I wanted to dig in specifically on your thoughts on the pet side of things. I think the industry the last couple of years has seen pet pricing up in the 3% to 4% range. I think you look at this year with Elanco, it's probably closer to 1.5%, if my math is right, strategically. I guess as we think about Elanco for FY '26. Can you guys get into that like normal range? Or should we even think there's potential to be above it when you throw in the innovation, lapping some of the launch promos. Any commentary on pushes and pulls or directionally, what we should think about pet health pricing would be helpful. And then on Zenrelia, great to see the progress here. I wanted to ask on go-to-market. You've mentioned the strong distribution agreement earlier today. You did have a competitor come out and give their largest derm product to distribution kind of at the end of September. I'm curious just feedback on how October has gone, if there's been any changes due to the distribution changes at a competitor.
Robert VanHimbergen: Yes. So I'll take that first one here. Just a couple of tidbits on price. And so our strategy is to continue to align price with customer value. But what's an important factor to remember, Andrew, is that our launches are excluded from our pricing calculation. So Quattro and Zenrelia, for instance, those are excluded from pricing calculation today, and you'll see that lap in 2026. So our 2026 price will include those current year launches.
Jeffrey Simmons: Yes. And Andrew, on Zenrelia and the change, we've been very consistent. I think it's what's put us in a really nice position with distribution. We've got great relationships. They're adding a lot of value to us. And our agreements have been very consistent. And most importantly, we offer the total portfolio. And the highlights that you just had with competitors, we've seen them be more selective to one SKU, maybe not the other SKU, year-to-year a lot of change. And we've really prided ourselves in being very consistent partners with distribution, and we believe that's paid off, and that's differentiated.
Operator: Thank you. I will now turn the call over back to our CEO, Jeff Simmons for closing remarks.
Jeffrey Simmons: Yes. Thank you, everybody, for your time. As you see, we've entered Elanco into a new era of growth and innovation, built on 9 quarters, more than 2 years of consistent reliable delivery. Our basket of innovation is performing and beginning to globalize driving renewed opportunity in the full portfolio, while our R&D team is laser focused on delivering a consistent flow of high-impact innovation, so this will continue. Most importantly, our Elanco team is highly engaged and driven by creating value for our customers, and our vision to make life better. And I would just say we're turning strategy into results, and I want you to be assured that we're staying very disciplined and balanced as a company. We welcome being an execution and show me story and it is our intent to create long-term value for you as investors, not just this quarter but going forward into the rest of the decade. We look forward to seeing you all at our Investor Day on December 9. Thanks for your time today.
Operator: Thank you for joining the call today. You may now disconnect.